Operator: Welcome to Sdiptech Q4 2025 report presentation. [Operator Instructions] Now I will hand the conference over to CEO, Anders Mattson; and CFO, Bengt Lejdstrom. Please go ahead.
Anders Mattson: Hello, everybody. Welcome to Sdiptech's presentation for the fourth quarter. I'm Anders Mattson, CEO of Sdiptech, and I will be presenting here today together with our CFO, Bengt Lejdstrom. A short intro to Sdiptech for any new listener on the call today. Sdiptech acquire, develop and create a long-term home in attractive infrastructure segments. Today, we consist of 31 companies in the group. And we operate in a decentralized structure and each company is responsible for the day-to-day operations. We divide the group into 4 business areas. And each business area has a clear structural underlying growth trend that we see for the future. For the full year 2025, Sdiptech as a group has SEK 4.5 billion in revenues and SEK 968 million in adjusted EBITA and an adjusted EBITA margin of 21.5%. And these are numbers for our core operation and excluding companies that are currently being divested. To start with, I would like to give you some highlights to the quarter. On a strategic level, we have made clear progress during the quarter with our divestments. Today, we have signed 8 out of the 11 companies for completion. The short- and long-term targets for return on capital employed is being implemented for each business unit. And we have done one acquisition in the quarter, which ties nicely into our growing cold-chain cluster. Financially, we are satisfied at a sales growth of 6% in the quarter, showing a good demand for our products and services in the market. I also would like to highlight the strong cash conversion of 134% in the quarter, primarily coming from reduction in working capital levels. Supply chain has [Technical Difficulty], but outlook for 2026 looks strong. Priorities going forward. Many of our companies have a strong return on capital employed, but we have a number of companies we can improve going forward. To be able to reach our growth target, we need to acquire in a high pace, which is for 2026. And we have several companies in the group with good momentum and we need to ensure that we are growing smart. And by smart, I mean being prudent with working capital and CapEx to facilitate that growth going forward. I also would like to follow up on the implementation of our 4 key strategic pillars that we presented on our Capital Markets Day during Q4 last year. The first one is around portfolio management. I already mentioned the progress of our divestment of the 11 companies have been signed for divestment with new owners. We have achieved an enterprise value of full year 2025 EBIT 6x for these companies, which then is in line with our expectations of the value. We have also been more prudent on which companies to allocate CapEx to due to discussions for 2026 and that's also according to our updated framework on how to look at CapEx investment going forward. Second pillar, as we call proactive ownership. We have defined a short- and a long-term target for each company according to the DuPont framework. We have some outliers in the group we need to focus on, but the majority of our companies have a great return on capital employed number as a base. Think we'll go through that a little bit later, but on average, 62% for the year. We have also aligned incentives towards capital efficiency in bonus plan for 2026. The third pillar is about disciplined and return-focused M&A. One example of an action here is that we have implemented a cash flow parameter in all earn-out discussions that we have in early stages for the LOIs with each and every potential acquisition. We have also [ intensifying ] throughout our existing companies. This is not a short-term fix. And this is something that's going to be very important for us going forward to be able to increase hit rate and also efficiency in our sourcing. The fourth pillar is our latest acquisition, STORR was linked to our cold-chain cluster, which is now 4 companies connected. And just for an example, the commercial due diligence was very efficient and straightforward as we already had a lot of information about the market and actually even the company in the group. So in summary, glad to report a strong momentum in implementing our key strategic initiatives. However, we all know that it's not just a short fix. And we look forward to a long-term mindset shift as well for us as a group. Then we are coming into the financial development in the quarter. We are satisfied with the net sales development in the quarter, plus 3% in total and 6% organic sales growth indicate a strong demand for our products and services in the market. The currency effect of negative 8% of course and is primarily due to our exposure to the sterling. In the quarter, we had a stable development, sorry, for 3 out of 4 business areas. We were expecting more sales from Supply Chain & Transportation as we have in the year, we have invested in some of the business units. For the full year, we achieved 6% sales growth and 3% organic growth. The year started weak, but improved during the second half of the year and reached a solid growth number for the year, a trend that we foresee continue in 2026 as well. No significant change in our geographic distribution of sales with U.K. is our largest market. Proprietary Products is at the same amount as previously with 65% -- sorry, 67% of total sales. If we then go to adjusted EBITA. In the quarter, adjusted EBITA came in at SEK 255 million. Organic growth was flat and a large negative effect from the currency of minus 7%. The flat organic growth is primarily a result of a weak quarter in the business area of Supply Chain & Transportation with 3 large companies that have invested for future growth. I will come back to that. I will give you some highlights per business area later as well. The margin of 22.4% in the quarter is strong, even lower compared to last year. For the full year, adjusted EBITA increased by 3% to SEK 968 million. This is an organic decline of 1% and mainly due to the weak first half of the year. The full year margin of 21.5% is in line going forward as a group. We expect our adjusted EBITA margin to be between 21% and 21.5%. We need to ensure sustainable growth and we need -- and also new acquisition with potentially lower margins coming in and being part of the mix. So with that said, I will now hand over to Bengt and he will continue with a more financial update.
Bengt Lejdstrom: Thank you, Anders. And I will start then with some numbers for the full group. What you just described, Anders, was for our core operations. But looking then on the profit levels for the full group, as you can see on the left-hand side, for the full year this year and a couple of years back, we have had a strong average growth of 24%, even though it was then slowing off in '25, where it only increased 1% compared to last year. Of that 1% was an organic decline of 4% and another negative effect from the strong Swedish currency, especially against the British pound sterling with a minus 3% currency effect on the full year. And then for noncomparable growth, that is the companies here or the ones effect from the one we divested was plus 8%. So all in all, quite good. But of course, as Anders also said, the first half of the year was a bit sluggish. And for the quarter, for the full group, the quarter EBITA was an organic plus/minus 0. Looking then on the return on the capital employed. As you can see on the right-hand side, we have a chart showing on one hand, the actual capital employed, which has been reduced a little bit from last year. The improvement then from 12.6% to 13.5% is mainly because of an increased EBITA for the group. Looking at -- and of course, the 13.5% is much lower than the return on capital employed in our operations, where the average for our core operations, that is excluding the goodwill and material assets that we book in connection with the acquisitions continue to be strong around the 60%. We also showed the number from another popular KPI, the profit over working capital that some peers focus a lot on. We focus more on the return on capital employed. But anyhow, it has been quite steady around the 80% for a number of years, which is, of course, an important KPI as well and a sign of how we manage and get profit out of our working capital. Looking then at the cash and cash conversion. You can look on -- to the left-hand bottom, you see the cash flow generation Anders mentioned as well. It's very strong for the last quarter, exceptionally strong, I would say, perhaps at 134%, but that was mainly due to reduced inventories and also getting the money in from our customers. And we have had that focus for some time now. And of course, the activities continue to improve this even further going on, even though perhaps the cash flow generation will not be at that level consistently. And I see in the chart, a yellow marked area where we have our ambitions between 70% to 90% over the different quarters, stay there in the cash flow generation and conversion. Another important KPI is then the free cash flow. That is then not only the cash flow from our operations, but also reducing with the leasing part and any CapEx that we do in the quarter. And for the last 12 months, that free cash flow per share have been almost SEK 17 per share, up from almost SEK 13 a year ago. In that chart, you also see the earnings per share, which is somewhat lower. It's around SEK 12 per share if we exclude goodwill write-downs that we did during Q3 2025. And that is lower. And that is based on that we do some accounting when it comes to IFRS rules in connection with our acquisitions. So for example, we need to book noncash interest rates, discount rates for our provisions for contingent considerations and that hurts with about SEK 1.50 per share. So that explains to some part the gap between the free cash flow and the actual net earnings per share. But all in all, we are satisfied with the quarter from a cash flow perspective and we'll continue to work on that. Then looking at the balance sheet from a leverage perspective, one of our financial targets are now to have our total net debt leverage, the total net debt compared with the EBITDA to be below 3. And for the quarter, measured then, of course, on a 12-month basis, it was then below. It was 2.84. And you see the trend on the left-hand side of this slide. We also have another KPI for our debt and that's what we call the financial net debt, which is all debt but excluding the provisions for earnouts. And that one did also decrease to 2.12. And the main reason for this is that the net debt was reduced because of cash flow coming in both from the operations and from, for example, the divestment of one of the companies that we closed them last year. These earnout provisions is always tricky to understand fully the impact on the leverage and so on. But you see on the right-hand side that our provisions booked as a debt has decreased over the years as a share of the total net debt. So coming from almost half or even more than half of all the debt is now 25% of the net debt. And that's a number we expect to decrease as each and every acquisition become a smaller part of the total picture. And during this quarter, we did some write-downs of these provisions. And that means that the actual model works that if some companies under earnout are performing a little bit less than expected, then we don't expect to pay out the earnouts that we have booked. So we released some of that debt and that makes an income. But that's not including in our adjusted EBITA numbers. It's one-offs. And we have detailed those in the reports towards the end, if you want to dig into that in more detail. Right. So I hand over back to Anders for the business areas.
Anders Mattson: Yes. Thank you, Bengt. So we have updated the presentation and a little bit more in detail each business area now. Starting with Supply Chain & Transportation, our largest business area. We had a poor performance, a relative poor performance in the quarter, an organic decline in adjusted EBITA of roughly 9%. And the result is mainly in units. Our company within transport refrigeration, GAH, they actually came out of a 4-year earnout. And we have increased investment to ensure a stable operation going forward. On top of this, 2 larger customers have throughout the year been being postponing the orders, unfortunately, postponed further into '26 as well. The other company, our company within winter road maintenance, Hilltip, have invested in an improved factory and organization in the U.S. to be able to serve the North American market locally. And the cost for this as is 2025. But we are convinced that this is the right thing to do as shipping in containers from Finland with finished goods is not a long-term solution for a market where we see great potential for our products for the future. And our company within port automation [indiscernible] large port projects to be postponed during the year and we were awaiting that to happen in Q4. And those global bigger projects, we feel it's the global uncertainty that is affecting these kind of major decisions for the larger ports in this. However, the challenges that we have in the business area are not long term as we see it. And we have a positive outlook for 2026 for the business area as a group. Within the business area, we are also happy to announce the acquisition of STORR late in the quarter. That is a company based in the Netherlands and fits well, as I already said, into our cold-chain cluster. STORR provides partition walls for refrigerated transportation. They have a product with a very high precision, which is needed to be able to separate frozen food from chilled food, for example. And the business model is interesting because the end customer, they usually don't know exactly how they would like to fit the lorry when they buy the bigger lorry. So STORR can actually come in and tailor flexible solutions depending on the needs, which also then can change over the lifetime for the lorry operator. So we look forward to continue to develop this company as part of the Sdiptech going forward. Then we're coming into Energy and Electrification, which had a very strong quarter. Net sales, SEK 281 million and adjusted EBITA of SEK 73 million. That's an organic sales growth of 14% and roughly the same adjusted EBITA growth -- organic growth as well. And also on top of that, a strong acquisition coming in, in Q1 and delivering a very strong result for the year. ForEx you can see of 49% is below the average in the group. And we have a few companies where we see improvement potential here, and that is primarily around inventory management. The demand is strong for several business units in this business area. I just would like to highlight one company that has a very strong new power, Swedish-based company from [ Alingsor ]. They offer equipment for measuring and monitoring power quality in the networks. And as we know, when renewable energy sources grow and also the network is growing itself, power quality becomes even more important to protect critical applications in a production environment or it could actually be in a hospital, for example. And even though we had a great 2025, we see the demand is still there and we see that's going to continue for the future. On other notice for this business area, we have the new leader, the new Head of the Business Area started in January. And it feels great to have recruited somebody that is actually based in the U.K. for such an important segment for us where the majority of our companies is in the U.K. If we then move to Water & Bioeconomy, they delivered a solid result in Q4, which is positive after a relative weak development in Q1 to Q3. Net sales at SEK 241 million and adjusted EBITA at SEK 56 million. Organic sales growth, 9% and adjusted EBITA growth of roughly 5%. In the business area, we see that we have [Audio Gap] and in 2025, we decided to make a number of leadership changes to the local businesses. We have the right products. The market is there. So we have said that we need to focus on more or bringing in more commercial-oriented leadership in some of the units. And we believe this will have a positive impact for the long-term development of the portfolio. Then, we go to the last business area, Safety & Security. They had a development in line with last year and kept up a high margin of 29%. Organic sales growth of 1% and organic adjusted EBITA growth of 2%. For the full year, Eagle Automation had a very strong year. I mentioned it the last quarter as well, but Eagle, they provide high security gates, bolards and rockers. And Eagle's products are certified to withstand vehicle attacks, which is then a specific certification needed. End customer segments are data center and airports, for example. And the strong development has led to further needs for expanding their assembly facility in the U.K. And just to tie back to our framework around where to allocate CapEx, this is a good example of where it makes sense to increase CapEx to expand the operations to get that market share that is out there for us to gain further. Then, we're moving into M&A. In the quarter, as we said, we finalized the latest acquisition of STORR. And total acquired growth landed at SEK 50 million in 2025. For the full year, we have been more selective, which has helped us to decrease the leverage as a group as well. And this is something we have been able to achieve to steadily increasing our ambition in 2026 for M&A. And as part of our updated strategic initiatives, we will be strict on our valuation principles and prioritize cash flow or IRR for each investment we're going into. Then I already mentioned is that we would like to intensify the local sourcing throughout our existing companies as well. So with that said, we are looking forward to more acquisitions in 2026. Yes. And just to give you a summary of the quarter, what we presented here today. We have had a solid financial result in fourth quarter with many KPIs in the right direction. Most of the business units developed a stable result in Q4, except from a few businesses in Supply Chain & Transportation, but improvement for 2026. We have had a selective M&A agenda in 2025 with -- but that's going to be a strong focus now 2026 going forward. The strategic initiatives, we are happy that we have made good progress with those. And I'm also [Audio Gap] a very strong management team in place now going into 2026 as well. And the outlook remains positive for us as a group. So that was all from the presentation here today. I think we can open up then for Q&A part.
Operator: [Operator Instructions] The next question comes from Max Bacco from SEB.
Max Bacco: Well done in the quarter. A couple of questions from my side, if that's all right. Perhaps starting then with the supply chain and -- Supply Chain segment. You mentioned, Anders, during the presentation that sales both in the quarter, but I guess, for 2025 as a whole has been impacted by some delays in project sales. But you mentioned on the slide as well on the outlook that you have seen some early signs of improvement here in 2026. So basically curious to hear more if you have already seen customers returning to those kind of orders already by now.
Anders Mattson: Yes. It's -- we have had a lot of discussions with GAH. GAH is then, of course, one of our important companies in that segment. And exactly what you said there. They were pushing out orders and they wanted to place them in 2026 instead. So order intake for early signals is looking good for the first half of the year. They are securing those orders. It's a major decision for many of these customers as they're planning to renew a total fleet, a big, let's say, retail customer in the U.K. And yes, so from that perspective, we have received some good orders for GAH. Certus is still a little bit of a hesitation of the customers. We have not lost the projects, but major ports see issues or, let's say, hesitant to place those orders. And -- but I can also say that we are not just sitting there, of course, waiting for those bigger orders. We are having a lot of medium and smaller orders coming in all the time. So I think that's also a way of mitigating just sitting and waiting for big orders, try to be active and develop new potential customers as well then.
Max Bacco: Okay, good. Sounds promising for 2026 or perhaps the latter parts. And then turning to the Energy and Electrification segment, very nice profitability here for the full year, some 26.4%, I think. And I guess, to some extent, supported by the acquisitions that have been done as of lately. Do you see this, say, 26%, is that a sustainable level for that specific segment?
Anders Mattson: Maybe, Bengt, you can answer that one.
Bengt Lejdstrom: And we can perhaps look at that slide since we're talking about the different business areas so we know what we're talking about. Energy and Electrification, as you see, it has had a developmental margins going up and down together with the acquisitions. We made a acquisition early '25 with Phase 3 coming in and doing these connectors for temporary connections with electricity, Phase 3 and IV working close together in many projects. But as you see, it has been quite steady around 25%, 26% EBIT margin, the different business units going a bit up and down. But I would say that it could be fair to expect around that level going forward, yes.
Max Bacco: Okay. Perfect. And then a question on the opposite side for the Water & Bioeconomy segment, some 24% margin here 2025, which is, of course, a nice level, but a bit below historical levels. And I guess that has been the segment the most impacted by the salary inflation in the U.K. and so on and so forth. Do you -- with the price increases and actions that have been taken in the segment and I guess some effect is still to be seen, do you see a potential to get back to those 25%, 26% profitability perhaps in 1 or 2 years?
Anders Mattson: I think from -- we have been trying to challenge a little bit in the past that we cannot change existing contracts there. We're trying to be a little bit more proactive with those kind of contracts. And there are some flexibility to step in and maybe make adjustments during the way we have seen some example of that. But still, it's hurting us, as you are saying. But I think it's going to be a challenge to come back up there. We're trying. It's depending on a little bit also with inflation in salaries going into now 2026 with so many, let's say, people business [Technical Difficulty]. But we are working hard with all the different business units here to steadily increase. We're going to work with pricing as far as possible to mitigate staying down at, let's say, lower levels then.
Max Bacco: Okay. Understood. And then 2 final ones, quite short ones. With the additional 7 divestments signed here after Q4, so 8 in total then including KSS, how much of other operations are remaining in terms of sales and EBITA? If you look at the 2025 level, I guess, is the best.
Bengt Lejdstrom: Yes. We reported for '25, I think, a little bit more than SEK 50 million for the company. Our run rate is rather around the SEK 65 million for all of these. And that's at least what we base our negotiations on. And so the ones we have divested are the major ones. We have 3 more, but they are a bit smaller. So I would say that perhaps they represent around 20% of that profit going further. So it's another SEK 10 million, SEK 15 million perhaps then that we looking at divesting.
Max Bacco: Okay. Perfect. And then the final one. You mentioned it during the presentation, very nice cash flow here in the quarter, but also for the full year. Both supported by net working capital, but also CapEx levels coming down quite notably for the full year. Do you see more to do on, I guess, both net working capital, but also, I mean, the CapEx level relative to sales that we saw 2025, is that a good indication of where you intend to be going ahead as well?
Anders Mattson: I think we have said that we will aim for not above 3% of sales in CapEx. And we will definitely if we can be below that in a specific year, that can be good. But I think we -- as a example I gave you here with Eagle, we need to support with CapEx to be able to drive that further growth in some of the business areas as well. So yes, some years can be lower. But I think we need to be up there towards the 3% to be able to have a sustainable growth going forward. On the working capital side, yes, I think we have more to do there. As I mentioned in the Energy and Electrification segment, the return on capital employed there around -- well, I think it was 49% is definitely more room to work on the inventory side there, just an example. So that's part of our incentive models as well for 2026 to try to bring that further down.
Operator: The next question comes from Simon Jonsson from ABG Sundal Collier.
Simon Jonsson: So I guess I just have maybe a few follow-ups on the cash flow. I think you made it clear that what you're looking for into this year in terms of CapEx and improving the working capital further. But maybe if you can just elaborate a bit more on what you have been doing more recently, specifically for the units to improve the working capital. I understand that it would be part of the incentive programs or bonus programs for units going forward here. But what more specifically have you done recently because we can see in the last 2 quarters or so that there has been a clear improvement in the trend? So yes, just wondering more specifically what you have been successful with here in recent quarters.
Anders Mattson: I think from a CapEx perspective is definitely now coming into 2026 as well, we have been more prudent and selective where we would like to spend the money and for what reason. We mentioned on the Capital Markets Day, the framework with companies that are in a strengthened position. We need to make sure that you fix whatever you need to fix before we can accelerate growing the companies and also that we are being selective saying that for us, this is a harvest position. Let's try to harvest as much as possible and investing more prudent. So that framework, I think, has been quite good implemented with the company now coming into 2026. On the working capital perspective, we have started -- we have always talked about it. But we have intensified the discussion with the companies during the autumn that we need to improve working capital and showed an example of how other companies in the group have done or how they have performed. So I think that [Audio Gap] low-hanging fruit that we are seeing. Now we need to stepping into a more structured work to -- as we do it, we're looking at the DuPont framework. We see you have these kind of inventory levels. We believe you can move further down 5%. That will take you here and making sure that we are aligned on what kind of actions specifically you can do. So I would say, low-hanging fruit initially and now the real work starts to really go through each and every company to make sure we are optimizing it.
Simon Jonsson: All right. Makes sense. Do you know already like how the bonus incentives will look like in terms of cash flow specifically? Will it be overall cash flow or focus on working capital? How much will that impact bonuses? Will it be different metrics or more sort of cohesive metric like return on capital for units or something like that?
Anders Mattson: It's going to be, let's say, a mix. So we have some companies that we feel needs to grow more. So we have revenue targets for that. We have EBIT target as usually as our most important one or with, let's say [Audio Gap] we have, it could be then return on capital employed or it can be working capital as a percent of revenue. That's depending on how we see what the focus should be for the companies. But we tailor that depending on how we see the need for it. And we can also say that this company should then have 70% of the incentive based on the, let's say, the capital efficiency part and only 30% on EBIT part. So that's part of our, let's say, proactive model to see what we would like to incentivize from our perspective.
Simon Jonsson: All right. Very good job here recently on the cash flow side, specifically.
Operator: The next question comes from Carl Korsheden from DNB Carnegie.
Carl Korsheden: Just -- yes, a couple of questions from my side. If just start off with a follow-up question on one of the first questions then regarding the postponed sort of deliveries in the Supply Chain & Transportation area. Is it possible to quantify that anyhow in terms of magnitude? How much do you feel you have been promised that has been postponed to the future? And how much of that could we expect will land in Q1 versus Q2?
Anders Mattson: No, we have actually not quantified that. It's more that some specific orders we were talking about for a long time over the year. And yes, so it's been more about we as an organization preparing to deliver those. And we cannot actually say how much of that is actually now happening exactly in January and February. But as I said, I think 2026 looks positive. It's not only because we believe we're going to get those bigger orders. It's also in the general that we are in a good momentum with not only these 3 units in the Supply Chain & Transportation segment.
Carl Korsheden: Yes. That's clear. And just -- I mean, on your Capital Markets Day, you talked a little bit about -- yes, you obviously had this new financial targets of growing 15%. And then you said that 2026 might be sort of call it slightly more of a transition year again that you will hopefully do some delevering and also complement with some additional M&A. Now it seems like your financial position has come down a little bit quicker than expected and you have seen very strong cash flows here in the quarter. Would you [ reinitiate ] sort of that view still? Or are you expecting you can do a little bit more M&A now in 2026 compared to your previous assessment?
Anders Mattson: No, I would say it's important for us to work with, let's say, our plans that we have put in place. It's still quite -- as we said it as well, it's a lot that needs to be gained from the M&A perspective. So no, we are not adjusting that based on the good cash flow right now. But organic needs to show now coming into Q1, Q2 to be able to continue with that M&A growth. So it's still a lot of things to do actually to be able to accelerate the M&A to be within our financial target metrics.
Operator: The next question comes from Linus Alentun from Nordea.
Linus Alentun: Congratulations on the report. Just some quick questions here from me. If we continue here on the ROCE from the past question here, it improved to 13.5% from 12.6%. I mean with the divestments and your focus on disciplined M&A, what's the realistic time frame here to reach the 15% target here? Is this a '26 or '27 target? I guess when the divestments are not in the balance sheet, the ROCE will have some upside as well?
Bengt Lejdstrom: Yes, that's correct. We simulated that during the fall and said perhaps 1%, 1.5% of ROCE will improve after the divestments. Still, it's a pretty complex to make a very solid forecast. But we have said that this will take perhaps a year or 2 to reach that 15%. It depends a bit also on how the M&As are lining up during the different quarters since we get the balance sheet first and the profits later. But I still would say that it's not early this year, perhaps around early next year or late this year, depending on how our expectation is really to go into next year for this.
Linus Alentun: All right. All right. And just continued on the supply chain orders here. You said that they are in a good momentum. Is this something that has kicked in like now in January, like or at the end of last quarter? Can you see a significant improvement here? Or how should we see this?
Anders Mattson: Yes. But I'm not talking about only about those 3 business units we mentioned had those problems. It's -- overall, it's a good momentum. Our e-l-m, our company producing attachment as well coming into -- from a very good second half of the year coming into this year and we see the same activity. JR producing different kind of doors as well to the transportation sector, having a great year and also continue to do that. And Hilltip, we talked about the U.S. facility in Europe. They are having a good development. They are expanding their product assortment and making bigger salt spreading equipment, not only to the pickup trucks, also to the tractor and to the bigger segment, the van segment. So -- and Certus is having -- they are growing their service level agreement base with every order they are taking. So I think from that perspective, those -- the mix of the companies and the good development there, that's what I -- when I see talking about the good momentum in this area.
Linus Alentun: Okay. That's clear. And just a question here when we look at Q1. How has the weather conditions been here so far for the winter-dependent companies like Hilltip and HeatWork? Are you seeing the weather here is more favorable compared to last year?
Anders Mattson: We've been talking a lot about that. And it's actually that what we see is that the season -- the winter season is getting shorter. So in the past, it could have been that they bought something and then they see early or December [Audio Gap] early January, they need an equipment to be able to go through the entire winter. The trend is that they do not have that kind of second wave in the winter because what they bought should be enough for the winter. But now Hilltip actually said with the condition that we have had in full Europe, it's better than last year in that kind of salt spreading equipment. And I think also HeatWork, another company dependent on the -- especially the temperature has also had a good start because of the cold climate, especially in the Nordic countries. So a little bit of positive effect because the winter is -- the feeling is it's going to be a longer period right now at least.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any written questions and closing comments.
Bengt Lejdstrom: Yes. And we have one written question so far regarding share buybacks. And the question is if we have ever considered share buybacks instead of M&A as our stock is trading at the current low levels. And as always, through all the years, we have always been prioritizing to acquire companies and believe that in the long run, that gives the shareholders a better return. So there is no discussions going on, on that theme. That's the simple answer on that. Yes. And I think that was the only written question. So Anders --
Anders Mattson: Yes.
Bengt Lejdstrom: -- any final remarks?
Anders Mattson: Yes. No, I think it's good. The message we would like to send is that, yes, we are continue to do or work with our strategic priorities. We are not done, for sure not. We are working on it. We're implementing it. And it's also going to be a long-term mindset shift with this everything we talked about, the capital efficiency and everything around that. That's important to have for us for the long term. But again, we are happy with a solid quarter ending 2025 and now we are definitely looking forward to 2026. It's going to be exciting for the group to enter into this new year as well. So with that, I think, thank you, everybody, for listening and good questions as well.
Bengt Lejdstrom: Thank you.